Operator: Good day and welcome to the BIOLASE Third Quarter 2022 Financial Results Conference Call. Please note, this call is being recorded. [Operator Instructions] I would now like to turn the call over to Todd Kehrli of the EVC Group. Please go ahead.
Todd Kehrli: Thank you, operator. Good afternoon, everyone and thank you for joining us today to discuss BIOLASE’s financial results for the third quarter ended September 30, 2022. On the call today from BIOLASE are John Beaver, President and Chief Executive Officer; and Jennifer Bright, Chief Financial Officer. John will review the company’s operating performance for the third quarter and then turn the call over to Jennifer to review the financials in more detail before opening the call for questions. Before we begin, I’d like to remind everyone that a number of forward-looking statements, which are statements that are not historical facts, will be made during this presentation and subsequent Q&A session, including forward-looking statements regarding the company’s strategic initiatives and anticipated financial performance. These forward-looking statements are defined under the Private Securities Litigation Reform Act of 1995 and are based on BIOLASE’s current expectations and assumptions and are subject to a variety of risks and uncertainties that could cause the company’s actual results to differ materially from the statements made. Such forward-looking statements only represent the company’s view as of today, November 10, 2022. These risks are discussed in the Risk Factors section of the company’s most recent Form 10-K and Form 10-Q filed with the Securities and Exchange Commission. A replay of this conference call will be available on the BIOLASE website shortly after the completion of today’s call. When listening to this call, please refer to the news release issued earlier today announcing the company’s 2022 third quarter financial results. If you do not have a copy of the news release, it is available in the Investors section of the BIOLASE website at www.biolase.com. BIOLASE’s financial results can also be found in the company’s report on Form 10-Q, which will be filed with the SEC. The tables we have provided in today’s news release offer additional financial information, so we encourage you to review them. The tables include the reconciliation of unaudited GAAP net loss and net loss per share to non-GAAP adjusted EBITDA loss and adjusted EBITDA loss per share as well as more information regarding the company’s non-GAAP disclosures. With that said, I’ll now turn the call over to BIOLASE President and Chief Executive Officer, John Beaver. John?
John Beaver: Thanks, Todd and thank you everyone for joining us this afternoon. We appreciate your continued interest in BIOLASE. Before I start, I’d like to congratulate the 2022 World Champion Houston Astros. I am sure everyone on the call is as big of Astros fan as I am. Now to our results. I am pleased to say that we reported continued increasing demand for our industry leading dental lasers in the third quarter, generating a 26% increase year-over-year in our total revenue. Our U.S. laser sales increased 35% year-over-year, while U.S. consumable sales increased 22% during the quarter. Our strong performance, which we have consistently maintained now for the last 2 years, reflects continued positive momentum on several fronts, including continued progress with the Waterlase exclusive trial program as our success rate, the percentage of dentists who purchased after the trial, remains at over 50% year-to-date in 2022. We now have sold approximately 100 Waterlase lasers via this program since the start of 2021. This initiative, along with our continued emphasis on endodontists, periodontist, pediatric dentists and dental hygienist continued to generate increased adoption of our laser technology by new customers, with over 90% of our U.S. Waterlase sales during the quarter coming from new customers and close to 40% of U.S. Waterlase sales coming from dental specialists. It’s important to note that these initiatives didn’t exist until recently. So, momentum is quite encouraging and gives us greater confidence for even greater success in the future. During the third quarter, more than half of our territory managers exceeded their sales quota is a testament to the entire BIOLASE team that we currently have no open sales territories and have had no sales turnover during 2022. The first time this has occurred in quite some time as our sales team is excited and enthusiastic, because our products, programs and initiatives that created excitement in the dental community. BIOLASE has an approximately 60% worldwide share of the all-tissue dental laser market represented by our Waterlase brand. However, despite this penetration level, it still represents less than 10% of the overall U.S. dental market, less than 2% of the dental market outside the U.S. Our objective is to grow the overall market, engage with the other 90% and while ensuring we continue to protect our position as a market leader. To reach this untapped market opportunity, we are intently focused on increasing education and training to build awareness of the benefits of our industry leading laser provides to dentists and their patients. In the third quarter, we held 150 educational and training events, a 46% increase from last year’s third quarter. As a result of these increased efforts, dental practitioners are coming to BIOLASE as they look to upgrade their dental practices and improve their patient outcomes. As I mentioned earlier, over 90% of our sales this quarter came from new customers, which represents the highest percentage of Waterlase sales to new customers since I joined the company in 2017. We believe each 1% increase in the adoption of our all-tissue laser technology in the U.S. will equal approximately $50 million in additional revenue for BIOLASE, assuming we keep our same 60% historical market share. This doesn’t include potential increased adoption outside the U. S., where historically, approximately 40% of our revenue has been generated, or the consumable revenue that is generated from the procedures done with our laser systems. We have a well-established 3-pronged strategy to grow market adoption of our lasers, which has created the growth momentum we are experiencing today. The first prong of our growth strategy is to get dental specialists on board. In 2021, a BIOLASE formed specialists’ academies to expand awareness of the benefits of dental lasers and dental specialist communities. Specifically, we launched specialist academies for periodontist, endodontists, pediatric dentists and dental hygienist to drive further adoption of our lasers and superior outcomes for their patients. Our plan in 2023 is to combine these specialist academies into a single Waterlase Academy and an Epic Academy. We believe that this will not only further improve and simplify training for the specialists, but also give general practitioners who are interested in adding more specialty procedures to the practices, an avenue to pursue further training. The opportunity that exists for BIOLASE within each of these specialist communities is very meaningful, led by key opinion leaders, or KOLs, in each of these specialties, followed increased education and training to drive expanded awareness and adoption. Our focus on increasing education and training for these dental specialists is translated into higher demand for our products as they look for safer, more advanced alternatives to improve patient outcomes and improve their practices. Combined, these new dental specialist markets represent hundreds of millions of dollars of potential laser system revenue each year, not including the potential for recurring revenue from the sale of our consumables. The second prong of our growth strategy is focused on the significant opportunity we have with over 150,000 general practitioner dentists in the U.S. alone. With an additional 5% of U.S. GPs adopt our lasers. It would generate $225 million in laser revenue, not including consumables. Our Waterlase exclusive trial program for GPs, who do not have prior experience with our product to evaluate and assess our laser for a 45-day valuation period at no cost and includes in-person training on the device, at the end of the 45 days, the GP has option to buy our laser or not. We have held approximately 30 of these programs so far this year. And as I mentioned earlier, more than half of the program participants have purchased the BIOLASE laser to-date. It’s a win-win for GPs, because a big part of the Waterlase exclusive trial program is teaching additional procedures they can do in-house with our laser, so they can keep more procedures and revenues in their practice and achieve superior patient outcomes. They just do two additional procedures a week. They will generate a 200% return on their investment in our laser. That, along with a better patient experience is motivating dentists to incorporate Waterlase technology into their practices. The more training and education we do through our Waterlase exclusive trial program, the more success we believe will have in driving laser adoption. The third prong of our growth strategy is getting the corporate dentists and universities to adopt our lasers. We currently have ongoing trials with 4 of the 5 largest DSOs in the U.S. Today, most new dentists are employed by the DSO right out of dental school. Our goal is for them to learn about and begin using our lasers while employed at the DSO and then make our lasers a central part of their practices moving forward, become a new dental laser and consumables customers when they go out on their own. Over the last few quarters, we made solid inroads with some of those DSOs. These relationships are important, and we believe that the large DSOs can lead to a far greater revenue for BIOLASE in the future. In addition, we have continued to develop stronger relationships with key dental schools across the country. During the third quarter, we announced a strategic plan to partner with postgraduate dental specialty programs throughout North America to expose new dentists and benefits of Waterlase technology. The programs range from 1 to 4 years and are generally dentistry and specialty programs. We have integrated our Waterlase laser into several post-graduate programs already and plan to expand into many more programs over the next few years. There is a large appetite among dental residents to utilize state-of-the-art technology in treating patients, and we believe the introduction and reinforcement of technology during postgraduate training is key to the adoption of laser dentistry with this new generation of dentists. Speaking of increased education during the quarter, we began construction of our new training facility and first ever model dental office named Laser Smiles, both of which are expected to open in the first quarter of 2023. This new space is conveniently located next to our corporate headquarters and will expand our ability to drive revenue and laser adoption by training practitioners in a hands-on dental environment. This is a novel opportunity to educate and train as well as produce marketing materials, create content, perform studies and test new equipment. We also are inviting leading international dentists to spend time in our facility next year to work with us as we help to ensure that the international voice of customers heard. Lastly, I’m happy to report that we continue to strengthen our management team, attracting the latest quality dental professionals. Dr. Ross Morrow, who we recently announced as our new Chief Dental Officer, brings extensive clinical dental and DSO experience to BIOLASE to help expand laser adoption globally. Dr. Morrow’s clinical expertise and knowledge of the dental industry combined with the significant role of the nation’s largest DSO make them particularly well positioned to lead BIOLASE’s clinical team as we pursue our goal of growing laser adoption across the dental industry. Dr. Morrow is a strong advocate for laser dentistry and has already worked with hundreds of dentists to adopt laser technology while at Heartland, and we look forward to his continued role in expanding the use of lasers within DSOs and with all dentists. I would like to personally thank Dr. Samuel Lau, who served as our Chief Dental Officer since 2016 for the critical role he has played in developing and expanding laser dentistry globally. Dr. Lau continues to bring a strong commitment and dedication to laser dentistry. And in his new role as Vice President of Clinical Strategic Alliances, he will continue to be a great asset to BIOLASE as he focuses on building partnerships with expanding adoption of our industry-leading dental laser technology. Dr. Morrow and Dr. Lau more closely with the Board’s clinical committee headed by Dr. Martha Summerman, to continue to identify and develop strategic approaches to clinical research and product development and to help oversee the company’s R&D efforts. In summary, our growth plan has been generating positive results, and we have a very large opportunity and a well-developed road map for growth. The success and continued performance of our sales team gives us continued confidence in our ability to achieve our operating objectives for 2022 and beyond as we set our sights higher. With that, I’ll turn the call over to Jennifer to provide further details regarding our third quarter financial results. Jen?
Jennifer Bright: Thank you, John, and good afternoon, everyone. I’m going to provide more context around some of the numbers as well as highlight some of the operational improvements we achieved during the third quarter. Our strong third quarter performance demonstrates our continued business momentum. This increased traction reflects higher demand for our industry-leading dental lasers and is directly related to our increased education and training initiatives. For the third quarter, we delivered net revenue of $12 million, representing 26% growth year-over-year. Some additional third quarter highlights include U.S. laser system sales increased 35% year-over-year. U.S. consumable sales increased 22% year-over-year, driven by increased procedures using BIOLASE lasers. We continued momentum with new customer adoption in the third quarter with over 90% of our U.S. Waterlase sales coming from new customers and close to 40% of U.S. Waterlase sales coming from dental specialists. Lastly, as John mentioned, the success rate of our Waterlase Exclusive trial program remains strong at over 50% year-to-date, highlighting the success of this program. These are all positive indicators of the increased demand we are experiencing for industry-leading dental lasers in the U.S. and abroad. Third quarter gross margin, 20% versus 51% a year ago. The decrease in gross margin reflects the impact of lower margin OEM products that were launched at the beginning of 2022 and a $1.7 million charge for inventory driven by the supply chain issues that we’ve encountered requiring us to change to new suppliers, along with end-of-life designation for certain products and components. During the quarter, we completed an acquisition of equipment that will allow us to supplement certain third-party key components with our own in-house manufactured components. We expect this will reduce our backlog for these materials, reduce overall cost of goods and improve cash flows when production is up and running in the first quarter of 2023. On the expense line, total operating expenses were $10.1 million for the quarter, up $2.6 million from the year ago quarter. This increase was due to compensation expense since all territories were filled in 2022, higher commissions and bonus incentives for achieving sales targets and an increase in travel-related expenses. GAAP net loss for the quarter was $8.4 million compared to a net loss of $3.3 million for the third quarter of 2021. GAAP net loss per share for the quarter was $1.10 compared to $0.54 for the third quarter of 2021 as adjusted for the reverse swap split. Our adjusted EBITDA loss for the third quarter was $5.6 million compared to an adjusted EBITDA loss of $2.5 million for the third quarter of 2021. Adjusted EBITDA loss per share for the quarter was $0.74 compared to $0.40 for the third quarter of 2021 as adjusted for the reverse stock split. Now let’s turn to the balance sheet. We finished the quarter with cash and cash equivalents of approximately $10 million. We have $6.5 million in operating activities, including advanced purchases of inventory and prepayments to secure materials to meet future sales demand as well as $2.7 million invested during the quarter to acquire the manufacturing equipment I mentioned earlier, and to build out our model dental office and training center that we believe will support our efforts to improve the adoption of our dental laser technology. Now moving on to guidance. For the fourth quarter, we are currently forecasting revenue to exceed $13 million, which would represent 5% year-over-year growth. For the full year, we are increasing our revenue guidance and expect full year net revenue to increase by more than 20% from 2021. In summary, we had another strong quarter with significant revenue growth and solid sales execution, and are confident that the actions that we’ve taken to strengthen BIOLASE are working. With that, I’ll turn the call back to the operator to open the call for questions. Operator?
Operator: [Operator Instructions] Your first question is coming from Kyle Bauser with Lake Street Capital Markets. Please pose your question, your line is live.
Kyle Bauser: Great. Thank you. And thanks for all the updates. Congrats on the progress. Maybe just a housekeeping items. John, I don’t know if you covered this in the prepared remarks, but how many dental specialty programs have a Waterlase laser? And then also, it sounds like all the territories are full. What’s the latest number of territories?
John Beaver: Yes. So right now, we’re in about third of the dental schools are about 70 give or take, dental schools in the U.S., and we’re about third of them. However, I would say, not all of them are fully active. So of that third, about 75%, I would – I feel really good about the progress we’re making in those schools. In terms of territories, we have 25 territory managers in 25 territories. However, two of those territories are what we call pods or larger territories with additional account specialists supporting that. You may know, Todd, talked about this in the past, where we wanted to see if this pod concept would lead to additional revenue generation and accelerate the adoption of this technology. The jury is still out there. We have early progress. I think it’s good, but we haven’t made a final determination if we’re going to expand that strategy U.S.-wide yet.
Kyle Bauser: Got it. Okay. I appreciate that. And how has pricing been on the actual machine, but also disposables, has that fluctuated in this market?
John Beaver: Pricing ASPs for the machines have gone up. They are higher than they were last year, both on a quarter-to-quarter basis and on a year-to-date basis. We haven’t increased the stated price, if you will. It’s really been driven by more pricing discipline with a more seasoned sales force, not always trying to get a deal closed on price instead of selling value to the customer and maybe adding more things that they can buy. So that’s really helped the ASPs. And consumables, we’ve actually increased pricing this year. Going into 2023, obviously, I’m not happy with some of the cost increases we’ve had from our suppliers. I understand it. We’re not alone there. And so we will be looking at further price increases in 2023 to improve our margins going forward.
Kyle Bauser: Got it. And then just a couple more here. So as you kind of prioritize your growth strategy, how important is kind of new installments versus increased utilization of your existing units? I know the disposables have a much lower ASP, and you’re trying to kind of drive adoption of lasers in general. But just kind of curious, have you prioritized one of these buckets? Do you envision increased utilization per unit ticking up going forward? Just kind of wondering about those two items?
John Beaver: Well, fortunately, I believe we can do both. And so the prioritization, neither one has to take a backseat to the other. We talked a lot about generating new customers and this technology back 5, 6, 7 years ago, most of our sales were to people who already had a laser, already a customer, and that’s completely flipped around now. So that increase in adoption is happening. However, we’re also making sure that with our education and training platforms that the people who buy the laser, the dentists who buy the lasers are actually utilizing it. And that’s why we’re seeing continued momentum on our consumable sales. The other thing that we recognized and I say have recognized for a while, but really decided to get after it this year was there were some dentists that had bought a laser. And I would say, historically, may have not been trained as well as we would today. And so we’re circling back to them and putting them into a optimization integration program and to get them back started, and that’s been hugely successful for us in the last couple of quarters. The other thing I would say is when you look at that acceleration of the adoption curve, which is what I’m all on, right, anything to accelerate that option curve I want to do. One thing that leads me to believe that this is working beyond just the financial results is the amount of marketing qualified leads that we’re getting. Those are inbound leads coming in via from a webinar we’re doing or a social media post or just coming into our website. And those have been increased substantially this year. We’re already through September 30, we already surpassed last year’s marketing qualified leads, and we’re about 4x the number that we were back a few years ago. And so I always get the question asked to me why now? And to me, it is – the future is now. It’s a sign that we are getting to the point we need to be for adoption where dentists are coming to us wanting to learn about the technology. And that’s really a seismic shift in the market.
Kyle Bauser: No, that’s great. And that makes sense. And it’s great to see that. And I guess, just lastly, breakeven, how should we think about this? Is this something we could look at late next year? Any updates here would be appreciated? Thank you.
John Beaver: Yes. So thank you, Kyle. We’re still in the middle of our 2023 budget process. We are going through the numbers now. We still believe that breakeven EBITDA for 2023 is achievable. Because of the cost increases that we’ve had over the last 6 months, I think that revenue number before I’d say you was about $57 million, I think it’s going to be closer to $60 million. But we believe that given the momentum that we have today on the revenue side that we will be able to achieve that in 2023.
Kyle Bauser: That’s great. Hey, thanks for all the updates, and great progresss.
John Beaver: Thank you, Kyle.
Operator: Your next question is coming from Anthony Vendetti with the Maxim Group. Please pose your question, your line is live.
Anthony Vendetti: Thank you. Hey, John. Hey, Jen, how are you?
John Beaver: Doing well.
Jennifer Bright: Hi, Anthony.
Anthony Vendetti: Good. Good. Hi, Jen. So yes, so I just wanted to focus a little bit more on the installed base, and I know there is some that are you’re reactivating, which I think makes a lot of sense, right, because you have a well-established now training program, and there might be some old systems out there that weren’t being used. Can you remind us just how many systems there are out there? And I know the penetration and just go over these numbers because I think they are compelling, right? The penetration rate, even though we have 60% of the market, penetration of dentists with lasers is incredibly low right now. And then just remind us on that – the opportunity for every percent increase in penetration?
John Beaver: Yes. Perfect. Good question, Anthony. So, we believe – I mean, there are different numbers out there, but roughly, there are about 100 and call it, 70,000 dentists in the U.S. today. We also believe that of that amount, about 8% have an all-tissue laser. I am going to break your question into two parts. One talking about all-tissue lasers like our Waterlase and the other talked about diodes. So, on the all-tissue side, call it, 13,000-ish dentists might have an all-tissue laser. Of that, roughly 60% have ours. So, call that 7,000 to 8, 000 dentists would have some type of iPlus, right, or Express, some type of Waterlase. So, when you look at the numbers, every 1% of that, roughly 170,000 dentists in the U. S. assuming we keep our 60% market share, which has been a historical norm for us is $50 million of revenue, basically 1 year’s worth of revenue for us. And that does not include the follow-on consumables that we know are quite accretive to margin and revenue and EBITDA. So, that’s in the U.S., which represents – recently, it’s been closer to two-thirds3, but historically about 60% of our total revenue. The numbers are much bigger internationally, where you have close to 2 million dentists internationally. However, in many of those countries, because of reimbursements, higher-end technology is out of reach to a lot of those countries and dentists. So, we have a completely different strategy internationally than we do in the U.S. In the U.S., I believe everybody should have a laser. And I believe every dentist will have the laser over the next coming years. Internationally, we really target the top 5% to 10% of dentists that cater to a lot of cash procedure, maybe don’t go through the insurance, the various countries. But once again, the opportunity is great, right, because it’s still we are catering to probably 200,000 dentists internationally. And there, the penetration is even less than the U.S., with total dentists in the world having probably less than 2% market penetration with all-tissue laser. So, with diode lasers, which obviously is a lower ticket price than our all-tissue laser, once again, with about 170,000 dentists, that is more highly penetrated with probably 40% of dental offices having some type of diode. Of that, about 25% is our diode. One of the epic type of diodes that we manufacture. That’s still number one, but it’s a more fragmented market, more competition there. And there, as you can imagine, the revenue opportunity is great. So, let’s say you got 10% of those offices just increasing adoption from going from 40% to 50% as an example. There, you are talking about 170,000 offices or dentists at 10%, that’s about another 17,000 buying a diode at our 25% market share and at an average cost of a diode, that’s another $30 million to $40 million.
Anthony Vendetti: Yes. Large numbers. Large opportunities. Just switching gears maybe to the gross margin. I know there was this $1.7 million charge for inventory. There were certain supply chain issues, you had to switch suppliers and the life designation for some of the parts and components. Do you feel like this charge is all encompassing, meaning this has cleaned out that – the inventory issue and we should be good now for – I don’t know if we can say for how long, but at least for the next 12 months or so?
John Beaver: Yes. So, I will break that question down to two parts of my answer. If you start at the 20% gross margin that we reported, the inventory reserve/write-off, if you exclude that, that bring the gross profit up to just about 35%, I think close to 37%. That, I believe is a one-time deal. We had a lot of changes in our supply chain. Trunk fiber issues that we have had in the past drove some of that write-off as well. And so I believe that’s a one-time deal that won’t re-occur. Jen mentioned the acquisition that we made in the third quarter to bring some of our components in-house. Not only will that improve our capacity, which will reduce our backlog in some of these components, but it will also improve the quality of these components and also reduce the cost, obviously, taking off the – taking out the manufacturer’s margin. I believe that the quality component probably represented 15% of our gross margin shortfall from what I would like to have seen in the quarter. And while I don’t believe that, that will come back in Q4, we do expect to have the production up and running in Q1. And so I would expect that to normalize in Q1.
Anthony Vendetti: Okay. Great. Excellent. Thanks. I will hop back in the queue. Appreciate it.
John Beaver: Thanks Anthony.
Operator: [Operator Instructions] Your next question is coming from Bruce Jackson with The Benchmark Company. Please post your question. Your line is live.
Bruce Jackson: Hi. Thank you for taking my questions. I know that international is a bigger part of the revenue story here, but I was wondering, during the quarter, what was the impact of foreign currency on the revenue? And can you give us a sense of what geographic areas you might have been exposed to? And maybe comment on the willingness of dentists to purchase lasers? Is it a factor of COVID-19 lockdowns, or is it more of an economic type of thing that may be affecting demand?
John Beaver: Yes. So, the financial impact of the foreign currency was about $150,000 loss roughly. The bigger impact was on, I think the revenue side where with the strength of the U.S. dollar, it makes our U.S.-made lasers more expensive in the international markets. And that’s probably – I mean I don’t know one market that the U.S. dollar hasn’t strengthened against off the top of my head. And so that has slowed down our international sales. Now, having said that, we were still about – we were able to maintain status quo year-over-year third quarter-over-third quarter. So, it wasn’t that bad. But from a COVID standpoint, we are seeing things opening up. I have mentioned in the past that unlike in the U. S. where we have a direct sales force, we have in the international a distributor network that really rely on large shows and conferences to drive a lot of the increased awareness and result in demand of our products. Those are opening back up. We just had a very nice show this quarter, well attended. We are going to have two big shows next year. IDS is back in Cologne next year, I believe, in early second quarter. So, I am cautiously optimistic about international continuing to grow next year after kind of a flat line in 2022. As part of that, one of the things I did this year is spent a lot of time in the field right along with our territory managers, meeting customers, future customers. It’s been great for me just getting the pulse of the customers, knowing how we can do things better and so forth. I will be spending a lot more time on the road internationally next year, and I hope to gain some insights there. And in addition, we have invited some of the leading international dentists to come visit us next year. And as I mentioned, to get really the voice of customer on the international side. So, that will be a big focus area for us next year.
Bruce Jackson: Okay. Great. The other thing I was curious about was Part 2 of the McGuire study. You have got some radiology data that’s going to be in there. Any sense of how the publication of that is coming along? And if that’s going to be an upcoming event?
John Beaver: Yes, it is getting closer, always slower than we would expect. Anytime you have a couple of statisticians talking to each other, that conversation takes longer than you would like. However, saying that, we expect in the first half of 2023 the second part will be published. If we are lucky, maybe in the first quarter, but I am confident it will be in the first half of 2023.
Bruce Jackson: Okay. Great. That’s it for me. Congratulations on the progress.
John Beaver: Thank you, Bruce.
Operator: Your next question is coming from Edward Woo with Ascendiant Capital. Please post your question. Your line is live.
Unidentified Analyst: Hi. It’s Rafe for Edward Woo. A quick question about the price increases you mentioned in 2023. Are you planning to phase that in or just do one big increase in 2023? And also the second question, can you talk about also some of the successful marketing events similar to the webinar?
John Beaver: Sure. So, from a pricing standpoint, we haven’t made the final decision on that. We are talking internally about the best way to do that, either all at once or phase it in. We should have a decision made there in the next few weeks. So, I can’t answer that question yet. In terms of the marketing, we hit different avenues of marketing all the way from webinars, which we continue to do, to trade shows, to innovations in dentistry, dinners to lunch and learns, to a huge presence on social media. And so that has really – all of the above have driven the number of marketing qualified leads that we have seen in 2023, which is – 2022, which is a huge increase over even last year and certainly a multiple of prior years. I think that has – those marketing qualified leads coming in, obviously, make it easier to have a discussion with the prospective buyer, a dentist who is looking at our technology. I think that has really helped our sales team. And I think that’s part of the reason that we have been able to retain all of our sales team during these trying macroeconomic times, with people changing jobs and so forth. It’s never easy, I would say, to sell the laser, but it’s much easier to have a conversation when the dentist is coming to you wanting to talk about it versus you just cold calling. So, that’s been a big difference.
Unidentified Analyst: Great. Thank you very much.
John Beaver: You’re welcome.
Operator: There appear to be no further questions in queue at this time. I would now like to turn the floor back over to John Beaver for any closing remarks.
John Beaver: Thank you, operator. I want to thank everyone for being on today’s call. Also, I want to thank the BIOLASE team for their continued commitment and dedication in delivering an elevated standard of care and safety through laser dentistry. Jennifer and I look forward to reviewing our fourth quarter results on our next call. In the meantime, we will be participating in several investor events including Benchmark’s 11th Annual Discovery One-on-One Investor Conference coming up on December 1 in New York City and investor meetings around the JPMorgan Healthcare Conference in January. If you are participating in either of these events, please contact Todd Kehrli at tkehrli@evcgroup.com to help facilitate a meeting with us. Thank you, operator, and thank you everyone for your interest in BIOLASE. This concludes our call. Have a great day.
Operator: Thank you, ladies and gentlemen. This does conclude today’s conference call. You may disconnect your phone lines at this time, and have a wonderful day. Thank you for your participation.